Operator: Good day and thank you for standing by. Welcome to the Second Quarter 2021 Financial Results Conference Call. At this time all participant lines are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Lee Fishman. Please go ahead.
Lee Fishman: Thank you, Tina. Joining me on the call today are Matt Cox, Chairman and Chief Executive Officer and Joel Wine, Executive Vice President and Chief Financial Officer. Slides from this presentation are available for download at our website www.matson.com under the Investors tab. Before we begin, I would like to remind you that during the course of this call, we will make forward-looking statements within the meaning of the federal securities laws regarding expectations, predictions, projections, or future events. We believe that our expectations and assumptions are reasonable. We caution you to consider the risk factors that could cause actual results to differ materially from those in the forward-looking statements, in the press release, the presentation slides and this conference call. These risk factors are described in our press release and presentation and are more fully detailed under the caption Risk Factors on pages 12 to 21 of our Form 10-K filed on February 26, 2021, and in our subsequent filings with the SEC. Please also note that the date of this conference call is July 29, 2021 and any forward-looking statements that we make today are based on assumptions as of this date. We undertake no obligation to update these forward-looking statements. I'll now turn the call over to Matt.
Matt Cox: Okay. Thanks, Lee, and thanks to those on the call. I'll start with a quick recap of our second quarter results. So please turn to Slide 3. Matson's businesses across Ocean Transportation and Logistics continue to perform well throughout the second quarter as the U.S. economy further recovers from the pandemic. The year-over-year increase in Ocean Transportation operating income in the quarter was primarily driven by continued exceptional demand for both the CLX and CLX+ services. In our domestic trade lanes, we continue to see improving demand as the local economies further reopen with meaningfully higher year-over-year volumes compared to the pandemic volume lows in the second quarter of last year. Logistics operating income for the second quarter increased year-over-year as a result of continued elevated goods consumption and the inventory restocking in addition to favorable supply and demand fundamentals in our core markets. The supply chain environment continues to be marked by widespread congestion and pressure points at critical junctions for both our ocean and overland transportation. At Matson, we remain focused on what we do best which is maintaining reliable trade lane services and helping our ocean transportation and logistics customers manage through this unique and difficult period of congestion. We're also focused on developing new organic growth opportunities that fully leverage the Matson brand and our customer relationships. Please turn to the next slide and I'll discuss a few of these in detail. Since May of last year, we've added three new expedited services within our China business to leverage our fastest in service transit and offloading times in the Port of Long Beach and our logistics network inland. This has considerable value to both new and existing customers, especially given the pain points in the supply chain. The introduction of these new services is the product of cultivating the Matson brand in China for the last 15.5 years by delivering a world-class reliable service with enduring competitive advantages. The results have been compelling and we're converting customers from other ocean carriers and from deferred airfreight. In response to the overwhelming demand on the CLX as a result of the pandemic, last May, we started our second expedited ocean service from China called the CLX+, which is a weekly service to Long Beach, supported by six chartered vessels. The CLX+ has most of the unique features of the CLX on the destination side, such as SSAT terminal operations, dedicated chassis and industry leading cargo availability at Shippers Transport which started as a short-term service has turned into a permanent offering that is the second-best service in the transpacific after our own CLX. In August of 2020, we announced the introduction of the Alaska Asia Express or AAX service, that is a westbound seafood backhaul service on the CLX+ from Dutch Harbor to China. This helps the long-term economics of the CLX+ and drives additional growth opportunities for our Alaska business. Recently, we announced a third expedited ocean service from China called the China California Express or CCX to operate on a seasonal basis to meet the current levels of extraordinary volume demand. Like our industry-leading CLX and CLX+ services, the CCX is fast, reliable and offers many at the same great features that make Matson unique. The first voyage from Shanghai is this week and demand is extremely high. This service departs from China and calls Oakland first, then calls Long Beach and bodes at Matson dedicated terminals in both West coast ports. We've replicated the key features of our Long Beach destination services in Oakland which are SSAT operated exclusive use terminal for immediate cargo operations, dedicated chassis for truckers to speed goods to customers and use of Shippers Transport for cleared cargo to offer quick turn times with no required pickup appointment times. To support the service reducing both of the Kanaloa Class vessels and activating two additional vessels, one in the CCX and one in the Hawaii service. The CCX will have to purchase from China three at every five weeks and with each vessel having capacity of approximately 1300 FEUs. And lastly, we initiated a new service at the end of the second quarter with our vessel of Kamokuiki sailing from China to Auckland, New Zealand direct and what we're calling the China Auckland Express or CAX. This is currently the only vessel in the service and departs China about every five weeks. We're excited about its prospects and we'll consider adding capacity if there is enough long-term demand. In summary, we've initiated three new expedited services in the last 14 months within our China business by leveraging the Matson brand and the success of the CLX. We listened to our customers and quickly adapted to rapidly evolving marketplace and investing in equipment, so we never miss a single piece of freight. We've developed new relationships with customers looking for quick and reliable ocean services and have grown with existing customers whose businesses are running flat out to meet the challenges of e-commerce and other retail demand in this environment. All of our China offerings provide an extremely compelling value proposition when compared to air freight and other ocean freight services. I believe our recent initiatives set the company up very well for future growth in this trade lane. I'll now go through our trade lane services, so please turn to Slide 5. Hawaii container volume for the second quarter increased 9.9% year-over-year. The increase was primarily due to higher retail and hospitality related demand due to the reopening of the Hawaii economy compared to pandemic lows in the year ago period as a result of the state's COVID-19 mitigation efforts including restrictions on tourism. I'd like to note that the volume in the year ago period includes volume associated with the dry docking of a competitor's vessel. Total container volume in the second quarter of 2021 was 5.6% higher than the result achieved in the 2019 period. I will now go through the current business trends in our Hawaii service. So please turn to the next slide. Domestic visitor travel for the state has accelerated since the beginning of the year and the local economy continued to reopen with COVID-19 vaccinations leading to a sharp rebound in Hawaii's tourism industry and economy. According to State statistics visitor arrivals in June were at approximately 84% of the 2019 level compared to 21% in January, further improvements in the tourism statistics are expected in the second half of the year. The material improvement in visitor numbers this year has also driven improvements across a number of key economic metrics. For example the unemployment rate since January has declined from 10.3% to 7.7% but remains elevated well above the 2.5% of unemployment rate in 2019. We're cautiously optimistic that further improvements in tourism and the reopening of businesses will continue to drive the economic recovery, but we recognize it may be several years to achieve unemployment and GDP level seen in 2019. To give you a sense of the volume trend one month into the third quarter, our westbound container volume in July increased approximately 16% year-over-year, primarily due to higher retail and hospitality related demand. Moving to our China service on Slide 7, Matson's volume in the second quarter 2021 was 59.1% higher year-over-year, primarily due to incremental volume from the CLX+ service in addition to higher volume in the CLX service as a result of our increased capacity in the trade lane. The total number of eastbound voyages in the China service increased by 9 year-over-year, of which six were from incremental CLX+ voyages and three from extra loaders, recall that, we had seven CLX+ savings in the year ago period. Matson continue to realize a significant rate premium in the second quarter 2021 and achieved average freight rates that were considerably higher than the year ago period. Volume demand in the quarter was driven by e-commerce, garments, and other goods. We continue to see sustained and elevated consumption trends and low inventory levels, drive an increased demand for our expedited ocean services. I'll now comment on current business trends, so please turn to slide 8. The key demand factors I've mentioned for the second quarter continued into the third quarter with July 2021 eastbound container volume, higher year-over-year by approximately 23% including the benefit of an extra loader. Currently, in the transpacific trade lane supply chain congestion continues, the consumption trends remain elevated. Retail and e-commerce demand remains strong and it remains a very challenging inventory replenishment environment, particularly for retail. We expect the supply chain and supply demand conditions to remain in place and lead to a high level of demand at least until Lunar New Year in the first quarter of 2022. Consequently, we expect our vessels in the CLX, CLX+ and CCX services to be operating at capacity at least until the Lunar New Year next year. Turning to Slide 9, in Guam, Matson's container volume in the second quarter 2021 increased 35.7% year-over-year primarily due to higher retail related demand compared to the pandemic low in the year ago period as a result of the islands COVID-19 mitigation measures as well as volume attributable to a competitor's schedule issues. The volume in the second quarter was 18.8% higher than the results achieved in the 2019 period. The Guam economy is recovering slowly as tourism remains constrained. Consequently, the economic trajectory remains uncertain. For the month of July, our westbound container volume increased approximately 18% year-over-year. Moving now to Slide 10, in Alaska, Matson's container volume for the second quarter of 2021 increased 15.2% year-over-year. The increase was due to higher northbound volume primarily due to higher retail related demand compared to the pandemic low in the year ago period as a result of the state's COVID-19 mitigation efforts. Higher southbound volume and the addition of volume from the Alaska Asia Express service, partially offset by one less northbound sailing. We continue to see improving economic trends in the state as businesses reopen, but the economic recovery trajectory continues to remain uncertain. For the month of July, our northbound container volume increased approximately 4% year-over-year primarily due to higher retail related demand. Turning next to Slide 11, our terminal joint venture SSAT contributed $12.8 million in the second quarter 2021 compared to $3.7 million in the prior year period. The higher contribution was primarily result of higher lift volume as a result of the significant year-over-year increase and import volume into the U.S. West Coast from China. We continue to see strong import volume into the U.S. West Coast and expect SSAT to be a beneficiary of this elevated volume. Turning now to logistics on Slide 12, operating income in the second quarter came in at $12.9 million or $4 million higher than the result in the year ago period. The increase was primarily due to higher contributions from transportation brokerage, freight forwarding and supply chain management where we saw elevated goods consumption and inventory restocking in addition to favorable supply and demand fundamentals for our core markets. In July 2021, we saw transportation brokerage continue to benefit from elevated container volumes in Southern California, in line with trends in the U.S., West Coast to import volume. At Span Alaska our freight forwarding business remained steady and tracked slightly better than the northbound volume trends in our Alaska ocean business. Ongoing supply chain congestion at ports, terminals, rail yards and warehouses continues to fuel a disruptive environment and many of our business lines are actively helping customers manage through the chaos. Historically, our businesses have performed well in times like this owing to our many years of experience and managing freight during turbulent periods and also that we own and control our own assets. And with that, I will now turn the call over to my partner, Joel, for a review of our financial performance. Joel?
Joel Wine: Okay. Thanks, Matt. Now on to our second quarter financial results on Slide 13, consolidated operating income increased $162.7 million from $51.2 million in the year ago period to $213.9 million but higher contributions from Ocean Transportation and Logistics of $158.7 million and $4 million respectively. The increase in Ocean Transportation operating income in the second quarter was primarily due to a higher contribution from the Hawaii and China services and a higher contribution from SSAT partially offset by higher vessel operating costs, higher terminal handling costs and higher depreciation. The year-over-year increase in the China service contribution was result of significantly higher average freight rates and higher volumes in the CLX service and a higher contribution from the CLX+ service due to higher average freight rates and six incremental voyages. We also had three incremental extra loaders compared to the year-ago period. The year-over-year increase in SSAT equity income was due primarily to higher lift volume which Matt previously discussed. The higher vessel operating costs was due primarily to increases in overhead costs and the cost of operating extra loaders. The higher terminal handling costs was due primarily to increase in volumes including the volume from extra loaders and also annual cost increases. The year-over-year increase in depreciation was due primarily to Matsonia entering the service in the fourth quarter of last year and to a lesser extent a full year of depreciation of scrubbers installed on the CLX vessels last year. The increase in logistics, operating income was due primarily to higher contributions from transportation brokerage, freight forwarding and supply chain management. I do want to point out that the year-over-year decline in logistics, operating income margin was due primarily to the increase in transportation brokerage revenue which had a lower relative contribution margin than freight forwarding. Interest expense for the quarter was $5.5 million or $1.8 million lower than the first quarter this year due to lower debt outstanding during the second quarter versus the first quarter and one-time expenses in the first quarter associated with the debt amendments on the revolving credit facility and note purchase agreements that were completed during the first quarter. Lastly, the effective tax rate in the quarter was 22.6%. Slide 14 shows how we allocated our trailing 12 months of cash flow generation. For the last 12 months ending June 30, we generated cash flow from operations of $528 million from which we used $228.5 million to retire debt, $171.8 million on maintenance CapEx, $71.3 million on new vessel CapEx including capitalized interest and owners items and $15.8 million on other cash outflows while returning $40.3 million to shareholders via dividends. I would like to point out that Matson made approximately $75 million in cash tax payments in the second quarter which you will see at the bottom of the cash flow statement in our 10-Q filing. Turning to Slide 15 for a summary of our balance sheet, you will note that our total debt at the end of the quarter was $661.5 million and our total net debt was $644.1 million. During the quarter, we reduced total debt by $37.4 million. At the end of the second quarter, our leverage ratio per the recently amended debt agreements was approximately 0.9x, and we had no outstanding balance on the revolver. On July 7, we terminated the operating lease on the Maunalei and paid approximately $95.8 million which we funded with a combination of cash on hand and borrowings on the revolving credit facility. As a result of this transaction, we reacquired the vessel and we expect approximately $6 million and lower cash operating costs in the second half of 2021 and we expect the transaction to be EPS accretive by $0.10 and $0.19 in 2021 and 2022 respectively. On Slide 16, we have an update of our capital expenditures for 2021 where we wanted to update a few key items, given our use of cash in the last few quarters and what we see for the balance of the year. There is no change in the maintenance CapEx of $60 million to $70 million and scrubber installation payments of $20 million that we previously provided. We expect an increase of $50 million in new equipment such as chassis, dry containers, and reefers to support our new trade lane services like CLX+, AAX and CCX and to increase the availability of equipment across our entire network. We expect $5 million payments on the new neighbor island barge to slip from 2021 into 2022, and lastly, we expect approximately $125 million in lease termination payments to acquire assets in three main buckets. First, the $96 million is related to the Maunalei which I already mentioned, second $15 million is related to the Mauna Loa barge that we paid in the second quarter and thirdly about $14 million is related to the buyout of other leased equipment in our network. On our fourth quarter earnings call in February, we also indicated that we expect to be at the maintenance level of CapEx of $60 million to $70 million next year in 2022. Our CapEx needs next year in 2022 may be elevated as a result of some payments on the equipment spent in 2021 trickling into calendar year 2022 and our efforts to sustain high levels of equipment availability if the congested environment persists longer than expected. With that CapEx update, I'll now turn the call back over to Matt.
Matt Cox: Thanks, Joel. Matson's businesses had a solid first half of the year. We're focused on ensuring our new and existing ocean services maintain reliability and that we are engaging with our customers in Ocean Transportation and Logistics to manage through the complexities of the current environment. We also remained vigilant on finding new opportunities either organic or through acquisition as the post-pandemic environment continues to evolve. And with that, I will turn the call back to the operator and ask for your questions.
Operator: [Operator Instructions] Our first question is from Ben Nolan with Stifel.
Ben Nolan: Yes, hi guys, congratulations on the good quarter here. I've got a few, so bear with me for a minute. I first want to talk a little bit about the evolution of some of the China business, specifically the most recent addition, the CCX going into Oakland. This is an area that I think we've thought about before and maybe expanding the footprint beyond simply Long Beach, can you maybe talk through a little bit about what you're hearing from your customers in Oakland and maybe the demand for that and I know that initially you sort of outlined that it's, you're doing it through the New Year. But the CLX+ are initially only a temporary thing [indiscernible]. At what point do you think customer demand or what you're hearing from your customers that give you confidence to be able to -- how that CCX do something a little bit more permanent as well.
Matt Cox: Okay. Sure. Thanks, Ben. So as we approached, clearly there's a lot of pressure in the transpacific trade and frankly all the global ocean trades right now and effectively every ship in the world that's available is in use and deployed carrying cargo somewhere in the world. And so Matson had a couple of reserve vessels but for us the part of the construction of our services are, we have a criteria that they have to be highly differentiated and if possible have to leverage Matson's unique strengths in controlling assets, both the ports and be able to berth on arrival, do we have adequate equipment chassis to have access to off-dock container facilities. So that we're not just putting out a generic service, but that one that truly differentiates itself in the marketplace and so our CCX was a result of that. We have our own dedicated berth in Oakland. We will have the fastest transit time from Shanghai, Ningbo into Oakland. We will have zero waiting on arrival and be able to get access to it when as soon as it arrives. And as a result will be a super highly differentiated service, so our goal is to avoid chartering a bunch of ships to produce a market level service, but something that's truly differentiated which we think has enduring value to customers. We have seen a very warm reception to our Oakland offering. We have significantly oversubscribed relative to the demand on the first voyage and we think that will be sustained. With regard to the question Ben that you asked about the duration of the CCX. I mean I think our thinking is that this service can be extended beyond Lunar New Year 2022, if the market demand requires it. And so what we're saying is that based on what we're hearing from customers, our own understanding of the macro economy, additional stimulus, sales to inventory ratios, all the metrics, we think at least through Lunar New Year, but if the market wants it and needs it longer, we can do that. So, those are just a couple of us to your questions answered.
Ben Nolan: Okay. And along those lines, it's appreciating now all of your spare or effectively all of your spare ships are utilized, it's really expensive to get third party assets. For the moment, are you kind of tapped out in terms of being able to add new services or creative, innovative, distinctive businesses for the moment?
Matt Cox: Yes, I think the answer to that is yes. Until the charter market changes and as you point out the charter market -- charter rates are extremely elevated given to the strong demand and effectively all of Matson's vessels are effectively deployed that isn't to say that if other vessels become available at some point in the future as market conditions change, we won't reevaluate that but at this moment in time other than, let's say, extra loaders for dry-dock return voyages or chartering others vessels on a one-off basis, but effectively this puts all of Matson's existing owned and chartered fleet to use.
Ben Nolan: Okay. So, and Joel, let me shift to you one of the things that I hear a lot and I suspect that you do to is, okay, great things are good, but where do we go from here. I'm sure you guys have some thoughts on this. But the business is somewhat different than it used to be, you have all of these Chinese expedited businesses that will likely keep volumes at much higher elevated levels than they were in the past. There are a lot of moving parts. Can you maybe walk me through what you think sort of free cash flow might look like under a normal rate environment, but with the elevated volumes, just sort of stair-step me through sort of what's different but with more freight.
Joel Wine: Yes. Ben, I think it's going to be proportionately to what you're seeing right now in terms of, if you look at our second quarter. I would just make the observation, there's nothing unusual about our cash flows and the cash flow, we generated and therefore the free cash flow generated. We're paying cash taxes announced, we've talked about that. We are dry docking schedule and outflows for dry docking is nothing unusual that's pretty regular, fluctuate a little bit based on the number of ships, but nothing dramatic. We did have big increases in working capital, which is consistent with the growth. When a company is growing adding new service lines and higher revenue levels, you'll see more investment required in working capital to fund those receivables which grow more than your payables. So you'll see cash outflows right now and things stabilize on a rate level and volume levels in the cash outflows, working capital will normalize, you get a little bit of a benefit. So in other words, as we launched the CCX here, one investments you'll see is negative working capital to fund those receivables in Q3. So there'll be some positives, but the big picture is where is the EBITDA, so, I mean I think we're not giving outlook on EBITDA. But it's still will be the biggest driver of determining of free cash flow will be what is that EBITDA generation level, but all the deducts for working capital type items, other cash taxes, those sorts of things which should really be pretty similar to what you're seeing here on a proportional basis, Ben. And then, the question is, where is the CapEx and that's why we actually took time to really detail that CapEx and give you a fulsome update here in this deck for this quarter and what to expect this year and we should be getting close to that maintenance CapEx next year except for some of the investments that will spill over from this year into next year on equipment purchases and/or some of the scrubber projects and things like that. But overall, all those are the regular drivers of free cash flow and I think they're going to stay relatively proportional depending upon that.
Ben Nolan: Okay. So maybe let me comment that a slightly different way, when you look at your current EBITDA how much of that would you attribute to rates that are elevated versus as you're saying just sort of, hey, this is the new normal.
Joel Wine: Yes, that would be beyond what we disclose with respect to rates as you know Ben, so I mean if you look at our, [indiscernible] 706, that's the number and obviously has been a rising rate environment over the last 12 months, but we can't comment with any more precision on the rate impact of that.
Ben Nolan: Okay, all right. So then I told you I had a few for you, but now I wanted to address sort of the, what I was getting to a little bit ago, we're making a lot more money than you really have. The share price has kind of flat lined a little bit here despite numbers rising and the business growing and et cetera. About a month ago or so you announced 3 million share buyback program. Can you maybe talk me through sort of how you think about that? I know in the past, Joel, you had said that you were, it was just going to be serious, many year and the previous buyback program, it wasn't going to be sort of aggressive. It was just part of normal course of business. Is there a point where you say we have money to spend here, we feel like our shares are cheap when we're just going to go at it.
Joel Wine: Yes. I'd say Ben we're right now really sticking with our plan, so I think that's the most important message. It's just happening a bit earlier than we thought. We thought we'd be probably buying shares back in '22 and '23, are looking at various methods of returning capital to shareholders in that timeframe it has just happened earlier because of the really strong performance in the business in the growth opportunities that we've had, but our overall plan is not changing, is just accelerated. So for instance, it’s been on share buyback, our approach will be subject to market conditions and be judicious about it, but we do want to get at returning this capital back to shareholders, so the overall philosophy of that is not changing. It's just been accelerated from a timing perspective, I think it's the best way to think about it.
Ben Nolan: Okay. And then, last one, this is -- I'm asking on behalf of someone else on this and I hopefully there is no one else in the queue, but the question that came in to me was as the air freight or as people begin to travel a little bit more and I realize that we're still not back to normal by any means, but more belly capacity becomes available on passenger airlines and there has been some additions to air freight. At what point there maybe some of the people who had switched over from air freight to [indiscernible] business. Switchback and I guess the question is, how confident or how comfortable are you that the supply chains have permanently shifted and even want to become a little bit more available, it doesn't go back.
Matt Cox: Yes, it's a great question, Ben. This is Matt. I think the way we're thinking of it now is how we had before. There is an element here now of extreme congestion and frustration on behalf of our customers trying to get their supply chains and products move to their end markets for retail consumption. And if every airplane in the world, air freighter in the world is full every -- as I mentioned earlier, every vessel is full, there is congestion on the U.S. rail network, there is congestion on the China rail network, there is insufficient labor to demand warehouses through our customer supply chains and trucking all of the elements. I think that this gradually or eventually it's a better word gets unwound, I don't know when that is, there aren't any really clear signs that's happening anytime soon, but of course obviously eventually it will. But I think what we're left with is a change environment where we see customers reassessing the amount of inventory and stocking and safety stock, I think you'll see customer behavior changing with regard to the explosion of e-commerce and importantly, the expectation of a quick delivery of products into those end markets which favors expedited services. And so, we remain convinced that when we get to the new normal first of all, it's not going to be like the old normal and it's going to favor Matson service offerings and where we end up there and when exactly, it's unclear. And in the meantime, we're working hard to help our customers navigate this highly frustrating supply chain environment.
Operator: I will now turn the call back over to Matt Cox, CEO for closing remarks.
Matt Cox: Okay. Well, thanks everybody for listening and we look forward to catching up with everyone on the third quarter call. Aloha.
Operator: Thank you, again for joining us today. This does conclude today’s conference call. You may now disconnect.